Operator: Welcome to Diodes Inc. Fourth Quarter and Full Year 2012 Financial Results Conference Call. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session at end of today’s presentation. (Operator Instructions) At this time, I would like turn the call over to your host for today. Please proceed, ma’am.
Leanne K. Sievers: Good afternoon, and welcome to Diodes fourth quarter and fiscal 2012 financial results conference call. I’m Leanne Sievers, Executive Vice President of Shelton Group, Diodes’ Investor Relations firm. With us today are Diodes’ President and CEO, Dr. Keh-Shew Lu; Chief Financial Officer, Rick White; Senior Vice President of Sales and Marketing, Mark King; and Director of Investor Relations, Laura Mehrl. Before I turn the call over to Dr. Lu, I’d like to remind our listeners that management’s prepared remarks contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the Company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of the risks and uncertainties in the Company’s filings with the Securities and Exchange Commission. In addition, any projections as to the Company’s future performance represent management’s estimates as of today, February 13, 2013. Diodes assumes no obligation to update these projections in the future as market conditions may or may not change. Additionally, the Company’s press release and management statements during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the Company’s press release are definitions and reconciliations of GAAP net income to non-GAAP adjusted net income, GAAP net income to EBITDA, operating expenses to adjusted operating expenses and free cash flow, which provide additional details. Also throughout the Company’s press release and management’s statements during this conference call, we refer to net income attributable to common stockholders as GAAP net income. For those of you unable to listen to the entire call at this time, a recording will be available via webcast for 60 days in the Investor Relations section of Diodes’ website at www.diodes.com. And now, I’ll turn the call over to Diodes’ President and CEO, Dr. Keh-Shew Lu. Dr. Lu, please go ahead.
Keh-Shew Lu: Thank you, Leanne. Welcome, everyone, and thank you for joining us today. Diodes once again delivered solid financial results in 2012, a year in which the global markets remained challenging. First quarter revenue grew 14% over the previous year period as we continued to gain momentum for our products used in smartphones and tablets. Our new product initiatives and the increasing customer content remained key drivers of our market share gains throughout the year. Despite gold price being approximately 4% and the loading down from third quarter to fourth quarter. Margins improved due mainly to additional copper wire conversion and productivity improvements, coupled with a small mix improvement. Additionally, we made significant progress on our acquisition strategy by closing our acquisition of Power Analog Microelectronics, on October 29. We began integrating PAM as well as Eris Technology Corporation, Eris, during the quarter. As you may recall, Diodes acquired over 50% of outstanding share of Eris on September 1, in order to leverage Eris' assembly and test equipment automation capability. Then at the end of the year, we announced the proposed acquisition of BCD Semiconductor Manufacturing Limited, BCD. We expect BCD will greatly enhance our analog product portfolio by expanding our product offerings for standard linear and AC to DC solutions for power supply charges and adapters. Combining manufacturing synergies and BCD’s established local market position in China with Diodes’ global customer base and sales channels provide enhanced profitability and growth opportunities for the Company in 2013 and beyond. Then in earlier January, we secure a five-year $300 million revolving senior credit facility with an option, pending bank approval, to increase the size of the credit facility by up to an additional $200 million. In addition to fund-raising our proposed acquisition of BCD the facility also provides Diodes additional flexibility as we continue to on our growth initiatives. With that, I now turn the call over to Rick to discuss our first quarter and fiscal 2012 financial results as well as the first quarter guidance in more detail.
Richard D. White: Thanks, Dr. Lu, and good afternoon, everyone. Revenue for the full year 2012 was $633.8 million compared to $635.3 million in 2011. For the fourth quarter of 2012, revenue was $163.3 million, an increase of 14% over the $143.3 million in the fourth quarter of 2011, and a decrease of 2% from $166.6 million in the third quarter of 2012. The sequential decline in revenue was primarily due to seasonal weakness, partially offset by initial revenue recognized from PAM and Eris. Gross profit for 2012 was $161.6 million or 25.5% of revenue, compared to $193.7 million or 30.5% of revenue in 2011. For the first quarter of 2012, gross profit was $43.2 million or 26.5% of revenue compared to $35.5 million or 24.8% in the first quarter of 2011 and $43.6 million or 26.2% of revenue in the third quarter 2012. Gross profit margin improved during the quarter due mainly to additional copper wire conversion, productivity improvements as well as modern improvements in product mix, despite gold prices being up approximately 4% and loading down sequentially. Total operating expenses for the fourth quarter were $39.7 million or 24.3% of revenue, compared to $30.6 million or 21.3% of revenue in the fourth quarter of 2011 and $36.1 million or 21.7% of revenue last quarter. Operating expenses in the fourth quarter included approximately $1.5 million of BCD acquisition cost; plus approximately $1.6 million of increased operating expenses in the Eris and PAM acquisitions. Excluding the BCD acquisition costs, non-GAAP adjusted operating expenses were $38.2 million, or 23.4% of revenue, slightly below the midpoint of our guidance. Looking specifically at selling, general, and administrative expenses for the fourth quarter, SG&A was approximately $28.7 million including expenses for the BCD, Eris and PAM acquisitions, which is 17.6% of revenue compared to $23.6 million or 15.8% of revenue in the fourth quarter of 2011 and $25.8 million or 15.5% of revenue last quarter. Investment in research and development for the fourth quarter was approximately $9.3 million or 5.7% of revenue compared to $6.9 million or 4.8% of revenue in the fourth quarter of 2011, and $9.1 million or 5.5% of revenue last quarter. We continue to increase our investment in R&D to further advance our new product initiatives. Total other income amounted to $300,000 for the fourth quarter. Looking at interest income and expense, we had approximately $194,000 of interest income and approximately $307,000 of interest expense. Also included in total other income was a $3.7 million gain on approximately 938,000 shares of BCD stock previously purchased by the company. The company filed a Form 13G today with SEC that gives more details about the company's purchase of BCD stock. Income before income taxes and non-controlling interest in the fourth quarter 2012 amounted to $6.6 million compared to income of $4.1 million in the fourth quarter 2011 and $9.4 million in the third quarter of 2012. Turning to income taxes, our effective income tax rate for fourth quarter and full year 2012 was approximately 43% and 16% respectively, which includes a one-time $2.7 million non-cash tax expense recorded in the fourth quarter associated with a correction of the Company's foreign tax credits and deferred taxes. China's corporate tax rate is 25% but the government also offers a reduced tax rate of 15% for companies that qualify for the high and new technology enterprise program. Certain of our China subsidiaries have qualified for this program. During 2012, the China government began an audit of our largest Chinese subsidiary for our 2009 and 2011 high-tech company status as part of an overall evaluation of the reduced tax rates provided to many high-tech companies. To date, the government has not issued the results of their audit. For more information about this subject, please see the risk factors section Item 1A of our 2012 10-Q and our soon-to-be published 10-K. Turning back to our results, GAAP net income for the full year 2012 was $24.2 million or $0.51 per diluted share, compared to $50.7 million or $1.09 per diluted share last year. 2012 represented our 22nd consecutive year of profitability. Non-GAAP adjusted net income for the year was $26.1 million or $0.56 per diluted share. In the fourth quarter, GAAP net income was $4.1 million or $0.09 per diluted share, compared to GAAP net income of $3.1 million or $0.07 per diluted share in the fourth quarter of 2011 and GAAP net income of $8.6 million or $0.18 per share last quarter. The share count used to compute GAAP diluted EPS for the fourth quarter was 46.9 million shares. Fourth quarter non-GAAP adjusted net income was $6.2 million or $0.13 per diluted share, which excluded, net of tax, approximately $1.1 million of non-cash acquisition-related intangible asset amortization costs and approximately $1 million of acquisition cost. We have included in our earnings release a reconciliation of GAAP net income to non-GAAP adjusted net income, which provides additional details. Included in fourth quarter GAAP and non-GAAP adjusted net income was approximately $2.4 million, net of tax of non-cash share-based compensation expense. Excluding share-based compensation expense, both GAAP and non-GAAP adjusted diluted EPS would have increased by an additional $0.05 per diluted share. Cash flow generated from operation for 2012 was $64 million or $16 million for the fourth quarter. Net cash flow for the year was a positive $28 million and a negative $11 million for the fourth quarter primarily due to $16 million paid for PAM. Free cash flow for 2012 was $6 million, which included approximately $58 million of capital expenditures. Capital expenditures included approximately $15 million associated with the Chengdu assembly test facility construction. Free cash flow was $1.1 million for the fourth quarter, which included $15.3 million of capital expenditures. Capital expenditures included approximately $2.1 million associated with Chengdu. Turning to the balance sheet, at the end of the fourth quarter, we had approximately $157 million in cash and cash equivalents. Working capital was approximately $378 million. At the end of the fourth quarter, inventory was approximately $153 million compared to approximately $158 million at the end of the third quarter of 2012. Inventory days increased to 119 in the fourth quarter compared to 111 days last quarter. Inventory in the quarter reflects a $12.1 million decrease in raw materials, partially offset by $2.8 million increase in work-in-process and a $4.5 million increase in finished goods. At the end of the fourth quarter, accounts receivable was approximately $152 million and AR days were 87 compared to 85 last quarter. Capital expenditures on an accrual basis for 2012 totaled $60.1 million, which included $15 million through our Chengdu site expansion. Excluding this amount, capital expenditures were 7.1% of revenue. Third capital expenditures were $11.3 million which included $2.1 million for our Chengdu site expansion. Excluding this amount, capital expenditures were 5.6% of fourth quarter revenue compared to 8.8% in the third quarter. For 2013, based on current market conditions and excluding Chengdu building expenditures, we expect capital expenditures to be 7% to 9% of revenue. Depreciation and amortization expense for the fourth quarter was $17 million. Now turning to our outlook. For the first quarter of 2013, we expect revenue to range between $157 million and $170 million or flat plus or minus 4% sequentially. We expect gross margin to be 25% plus or minus 2%. Operating expenses are expected to be 23% of revenue plus or minus 1%. We expect our income tax rate to range between 10% and 17% and shares used to calculate GAAP EPS for the first quarter are anticipated to be approximately $47 million. With that said, I will now turn the call over to Mark King.
Mark A. King: Thank you, Rick and good afternoon. Revenue in the quarter was down 2% sequentially primarily due to declines in North America, Europe while revenue in Asia was flat. Automotive and industrial were down in the quarter, consumer and computing essentially flat as communications was up slightly. Highlights in this quarter included continued advances in smartphone and tablet these are new products and share gain, which were offset primarily by declines in LED TV. We also continued to see positive momentum and see record revenues for our MOSFETs, CMOS LBO, and logic product lines driven by solutions for quadruple and quadruple power. Additionally, LED drivers, sensors and bipolar transistors are also experienced strong quarter. OEM sales were up 1% and distributor POS was down U.S. was down 3.7%. Distributor inventory continued to decrease another 2.5% and the inventory remains in line at end of the three months. Turning to global sales, Asia represented 81% of revenue, Europe 10% and North America 9%. Our end market breakout consisted of consumer representing 34% of revenue, computing 28%, industrial 18%, communications 17% and automotive 3%. In terms of new products, fourth quarter proved to be another strong quarter for product launches across a wide spectrum of applications in all end markets. We’re still talking about total 43 new products across 70 product families as we continue to demonstrate our commitment to growing our broad based of suite portfolio in the high volume, high-growth markets. During this quarter, Diodes expanded its offering of thermal efficient miniature power devices is using it’s DFM technology, which enables outstanding power standing power handling and space saving in a range of demanding applications. This family of devices offers advantages across a variety of applications including tablets, netbooks, notebooks, power supplies, motor controller, as well as automotive applications. Also leveraging Diodes DSN packaging technology is the latest in a line of Schottky diodes packaging in a subminiature DSN 0603 package. This tiny package uses 66% less board area than the competing DSN [0603] Schottky making it ideally suited for portable applications. We have already secured a design win with a major portable manufacturer and expect additional design wins in the coming quarters. Diodes also broadened our range of tight tolerance Zeners in the quarter which are also aimed at the mobile communications and portable markets. In other applications area, we launched additional MOSFET devices for consumer electronics, notebooks, motor control, LED, voice over IP and power supply. We also introduced SVR devices for power supply, LED TV and automotive applications as well as protection and application-specific products for consumer and industrial applications. In terms of design wins for our discrete products, throughout the quarter Diodes secured major wins in portable devices, computing, automotive applications as well as power supply and adapters. Turning to analog new product introductions, we released 24 new products across six product families. New product highlights include the release of several new synchronous DC-to-DC converters, including our first buck regulator offering light load and high efficiency. This device allows for continuous load of 2 amps with efficiency as high as 95%. Design in activity for our expanding portfolio of synchronous DC-to-DC converters includes early production ramps on two of our new products with the major Japanese electronics manufacturer, as well as a new customer in the U.S. space set top box market. Also during the quarter, we introduced several new micropower Omnipolar Hall-Effect switches including high sensitivity devices designed specifically for portable and battery powered equipment such as cell phones and tablets. We also offer medium to low sensitivity devices targeted at industrial applications such as smart e-meters. These low power products provide programmable features and extremely small package footprint that have seen early success in the market with design opportunity with Eris, smartphones and desktop printers. Additionally, we released a family of single channel precision adjustable USB power switches and further expand a very successful portfolio of devices optimized or hot swap portable consumer applications. Overall design win activity for USB power switches remains very strong with significant wins across multiple customers in both LED TV as well as the notebook market. Our LDO design wins were also strong where we saw major design wins across large scale applications including DVD players, LED TV and computer motherboards. In fact our CMOS LDO product line continues to set new revenue record as we continue to expand this product family. Finally in our LED driver family, we now offer 30 volt, 1 amp LED driver that gives us robust protection against LED and over-temperature flaws to ensure reliable system design. This devices low EMI performance reduced shifting thoughts and meets all EMI performance reduces the system costs and meets all EMI requirements, while the PWM and analog dimming support provide excellent system flexibility. We also continue to gain significant momentum for our standard logic products, doubling our revenue over the prior quarter. Our standard family of logic devices is going to well received by customers as we secure growing number of design wins in the portable consumer electronics space. In summary, we are pleased with our continued advances and market share gains in smartphones and tablets during this past year. Although the market environment remains challenging, we believe our past design win momentum, new products, and expanded customer believe have been key factors to our past successes. Diode’ leading packing capabilities has enabled us to produce outstanding power and space ageing devisor in a momentum, new products and expanded customer relationships have been key factors to our success in a broad do of demanding. We packaging capability have addressed, produced outstanding power and space making devices in a broad range of demanding applications. We have a growing product pipeline and a strong design win pipeline, which will only be further enhance our innovation of the BCD analog product portfolio. This acquisition provides added strength to our geographic presence and global customer base by expanding our sales footprint. Upon closing of the transaction, we look forward to working closely with our customers to familiarize them with our new expanded standard linear and power management offerings. With that, I will open the floor to questions. Operator?
Operator: (Operator Instructions) Our first question is from the line of Steve Smigie, Raymond James. 
Steven Smigie – Raymond James & Associates, Inc.: Great, thanks a lot. Nice growth year-over-year in the fourth quarter of 14% is pretty good in the tough environment, I was just hoping you could give a little bit of color Dr. Lu on how orders are trending, are you seeing a more positive outlook, because I think you said in your press release, you’re guiding little bit of both seasonal and we've been hearing from some of the other guys that are similar companies that have talked about improving order patterns. And I’m just curious if you are seeing the better order patterns and it's as just Chinese New Year, if there is something more meaningful here? Thanks. 
Keh-Shew Lu: Steve, I just came back from China or from Taiwan yesterday, okay. I do see some of the – a peak business or market in Asia, but nothing really shows a strongly recovery. It’s not, okay. I just see a few companies change [can saw] the Chinese New Year occasion or holiday and some of the company shorting in Chinese New Year holiday, so you can feel a little bit uptick, but since right now they are still in the Chinese New Year holiday, we really don't know until we are out of the Chinese New Year, they will know for sure. Now I did Mark King answer you on the U.S. and Europe, but in Diodes we do getting the market share, we do continue of a very strong design win, so we are able to make the guidance flat instead of going seasonally down. Mark you want to talk about U.S. and Europe?
Mark A. King: Yeah, Steve, we are definitely seeing an uptick in North American marketplace and we're seeing some slight signs of recovery in Europe, so more positive signs rather than a clear indication. So I think definitely things are improving globally.
Steven Smigie – Raymond James & Associates, Inc.: Okay, great. And then I was hoping – could you guys talk a little bit more about the taxes, I think if I did the math right you are something like 13.5% tax rate for the March quarter here. Is that something we should think about as the rate throughout the rest of the calendar year? Can you talk a little bit about possible impact of the Chinese audit on the taxes or that increase your tax rate if it goes against you and I guess what’s the likelihood of that going against you?
Richard D. White: Sure. So 13.5% is the midpoint of our guidance for the first quarter and you can assume that it's the same for the rest of the year for 2013. As far as the high-tech tax rate, we've been approved our Chinese of series have been approved for the high-tech tax rate for the next three years already that occurred in the fourth quarter. So from that standpoint, we believe that we have no issue going forward with that it's just the question of this audit and what the outcome that audit is going to be. And to date, we don’t have any input on that.
Steven Smigie – Raymond James & Associates, Inc.: Okay, great. Thanks. Last question was just on gross margin, if we were to get a seasonal uptick in the June quarter say 4%, 5% or something like that even if not seasonal, if we get that sort of uptick, how big of a gross margin impact would that have? I mean would that have a meaningful impact on utilization such that we could see a couple of hundred basis points or more jump in gross margin in the June quarter? Thanks.
Keh-Shew Lu: You are talking about the second or third quarter; we don’t give any guidance on that. But what – if the market turns and we start to get a significant growth, then you can see a major utilization improvement and that will help us on the GPM percent, okay. But that really depend on what would be happening in second quarter or even you are talking about third quarter, but at this moment we do not have any information and we do not give the guidance. It completely depend on the loading and we try to qualify BCD and that is depend on the qualification and depend on customer acceptance. So we really do not have the number in our mind yet about what would be the improvement of the loadings.
Steven Smigie – Raymond James & Associates, Inc.: Okay, great. Thanks a lot. Congratulations again.
Keh-Shew Lu: Thank you.
Operator: Your next question will come from the line of Christopher Longiaru, Sidoti & Company.
Christopher Longiaru – Sidoti & Company, LLC: Hi guys, congratulations on the guide especially versus competitors. 
Keh-Shew Lu: Thank you.
Christopher Longiaru – Sidoti & Company, LLC: I guess my question has to do with what's the timing on the closure of BCD at this point and is there any – how much of that is in the guide at this point, is that the reason why the guidance range is so wider than usual?
Keh-Shew Lu: Okay, number one, our guidance assumes have no BCD in there.
Christopher Longiaru – Sidoti & Company, LLC: Okay.
Keh-Shew Lu: That's number one. Number two, you know the BCD going to shareholders meeting on February 28, and we would like to – after if they approve it, then we would like to close as fast as we can and so it's been no surprise, that maybe at the beginning or at the first portion of the March instead of April. But that really depend on any surprise or any – anything happen.
Richard D. White: Approval by the shareholders first, right.
Keh-Shew Lu: Yeah.
Christopher Longiaru – Sidoti & Company, LLC: Okay, great. And then just on the inventories that are in the channel right now, Mark can you comment a little bit about how those kind of trended during the course of the quarter and any indications of what you're seeing at this point into first quarter?
Mark A. King: Yes, I think we are, actually our inventory position is quite solid, our European inventory is very low, our North American inventory continues to decline, I think overall globally we were down 2.5% for the quarter and actually I think that the distributors have been working their inventory – I don't know the last six quarters and it has continued to decline, so I think it's in very, very good shape.
Christopher Longiaru – Sidoti & Company, LLC: So in the scope of a rebound which we are starting to see some signs of in 2013, would you have to pick up a little bit more inventory internally to hedge against getting out product in time for guys that needed or do you think that what you have now is okay? Can you give us a little guidance there?
Richard D. White: Yeah, I think…
Keh-Shew Lu: Okay, go ahead.
Richard D. White: No, go ahead Dr. Lu.
Keh-Shew Lu: Okay. I am going to talk about the company internal inventory. By end of December, we are building up the inventory for the Chinese New Year, okay, because you know the Chinese New Year, right now, Chinese New Year and you are going to have a lot of people go home for vacation and we plan to shutdown for two, three days and so actually build up the inventory in the end of December. But then, I think so we would hope in or we think internally by end of March that inventory should go down.
Christopher Longiaru – Sidoti & Company, LLC: Should go down, okay.
Keh-Shew Lu: So we do not try to build up the inventory for that, okay.
Christopher Longiaru – Sidoti & Company, LLC: All right. That’s all I have for now. Thank you guys.
Keh-Shew Lu: Thank you.
Operator: Your next question will come from the line of Harsh Kumar.
Harsh Kumar – Stephens, Inc.: Hey guys, congratulations on a good guide.
Keh-Shew Lu: Thank you.
Harsh Kumar – Stephens, Inc.: Dr. Lu, I had a couple of questions. First one, you just did 26.5% margins gross and I think the guidance is at the midpoint 25%. Is there anything going on in that number that is causing you to guide a little bit lower and then I had a question about copper conversion as well.
Keh-Shew Lu: Okay, let me answer that. It is really very simple. Like I said in the December quarter, okay, we are building up some inventory. Your duration rate will be higher than 1Q. So we originally do not really plan on reduced inventory. So our GPM, our gross margin will be effective by that duration. And 1Q because of the Chinese in a New Year holiday, less people and the output the physical output from factory will be done in 4Q. And that you have fixed cost and lower output, then your GPM percent will be low.
Harsh Kumar – Stephens, Inc.: That’s very helpful Dr. Lu. And then are you Dr. Lu and Mark, are you done with the copper conversion, how far are you? And can you give me a sense of what this means to profitability?
Keh-Shew Lu: Okay, number one, we are not finished from the making function to 12%. We almost finished copper wire qualification. The one we want to move, we want to convert we almost done. But I said I’ve been taking about it’s a customer acceptance. From especially major customer, they do not want to convert it during the production times. So they always want to wait until their new design, ramp it up then, they will qualify our copper wire in a product. And so we are not really for – the major customer, we are not really worthy yet especially the high-volume one.
Harsh Kumar – Stephens, Inc.: Okay. That's – I think I can understand that. And then Dr. Lu is there a big difference from bringing last question from me, PAM and Eris in December quarter contribution versus PAM and the Eris in the March quarter contribution?
Keh-Shew Lu: Just go one by one. PAM we consulted by the end of October. Therefore in 4Q you have two month of PAM and then 1Q you have three months, so that you can see how much that is. But don't forget in 1Q typically Chinese New Year season that will be slowdown. Now for Eris no different because Eris was consolidated in September or end of August so in the 4Q three months of Eris and 1Q usually three month average.
Harsh Kumar – Stephens, Inc.: Okay, perfect. That is very helpful. I'll get back in line. Thank you and congratulations.
Keh-Shew Lu: Thank you.
Operator: Your next question comes from the line of Vijay Rakesh with Sterne Agee.
Vijay Rakesh – Sterne Agee: All right guys, good work on the Q4 gross margins. I was wondering as you look at you mentioned the guidance have been impacted by fab utilization what are the utilization in Q4 and where do you expect utilization in Q1?
Keh-Shew Lu: Okay. The utilization is better than what we expect it is the cause like I mentioned we view some inventory for Chinese New Year, so you will output straightening up well. You move even more, then 1Q you can see the output going to be low and we give the guidance of 25% first, 26.3 okay, that is the difference. Now, we will say slightly better on the copper wire conversion, those will continue. So it won’t go down and this is the mix that changes significantly. If the mix don’t change, so we assume the copper wire will be the same, and therefore you can see that difference is really due to the utilization.
Vijay Rakesh – Sterne Agee: Got it. And as you look at Q2, do you see utilizations come back to the kind of the Q4 level, and also as BCD layers in, are those gross margins nicely incremental to where you are, let’s say the Q1 level?
Keh-Shew Lu: Okay, we do not give the guidance of Q2 yet, but you can estimate if the business we don’t know, but if the business really grow, then utilization will be better. And so that is we don’t know on the Q2 yet. But you need to make your assumption what will be the Q2 revenue, and then from there you can estimate what kind of improvement? Now, BCD is a different story because BCD do announce due to their flat to (inaudible) their dimension will be more and I think they will keep their guidance of 1Q and these depicts in business terms the new estimate, what will be your evaluation. I do not – in our number we'd assume that no BCD – in our 1Q guidance we assume no BCD, and then if we are able to consolidate one month, consolidate March, if we can close sooner then it will be different.
Vijay Rakesh – Sterne Agee: Got it, okay and on the BCD side, their fabs are you bringing, when do you start to move their product in-house or do you plan to keep their fabs open to the . . .
Keh-Shew Lu: Okay, we will try to bring their (inaudible) to not all of them, but majority of them to our assembly site, but it take much longer to bring our product to their fab, because fab qualification and trying to conversion it typically take longer than packaging conversions.
Vijay Rakesh – Sterne Agee: Okay great, thank a lot guys,
Keh-Shew Lu: Thank you.
Operator: The next question will come from the line of Vernon Essi, Needham & Company.
Vernon Essi – Needham & Company: Thank you very much and congratulations on this guidance, really going ahead I'd like to focus on Dr. Lu as you had mentioned earlier about having a qualification with the exceptions with BCD, is there any sort of time line or mile stone she can walk us through as to how that might transpire as you try to get garner the attention of some of those larger branded companies that you already deal with and sort of cross sell other products, what is sort of your expectation on that?
Keh-Shew Lu: Okay, we start working on the packaging qualification even before we cross, we already kick off that action and so let's say it takes three months for qualification, it takes three months for the PCM products into notice. You were talking about six months, okay. After that, for the similar market you can start to convert, but for key customers then you need to wait until they say okay for the very tough customer, they will just say no, you give me the sample and I wait until my next version of the product then I will qualify you based on that on the next version or the next product. So the earliest will be six months but then you cannot convert by the way then you start from the similar market, the key customer, then the tough customer. I’m not really talking about because that really is the customer make a decision. Now me can make a decision.
Vernon Essi – Needham & Company: So I guess – this helps. And just to clarify, you would not really be seeing cross selling revenue synergy of magnitude this calendar year, because you are going to miss sort of the consumer season, you might get some sampling taking place, but really 2014 is were you would start to see that?
Keh-Shew Lu: You are correct. If you want to see some signs of it maybe 4Q this year, but significant won’t be until next year.
Vernon Essi – Needham & Company: Right, okay…
Keh-Shew Lu: Yeah. This is the market really hot, then it’s different story, right? Because when you have a market really hot and the production supply started getting tight, then we’ll have more willing to convert, but I don’t think this year could be that kind of year. I hope it is, but I don’t know, I don’t think so.
Vernon Essi – Needham & Company: Okay, all right, that’s helpful. thank you very much.
Keh-Shew Lu: Okay.
Operator: The next question will come from the line of Tristan Gerra, Baird.
Tristan Gerra – Robert W. Baird & Co.: Hi, good afternoon. When we look at the second fab that BCD is going to – is putting in place currently, are there opportunities? And I know it’s going to take time for their products to move to your fab or how should I look at who has the lowest production costs on the front-end?
Keh-Shew Lu: Well, we don’t move their product into my fab, because our fab is more discrete fab, okay and they do not have discrete product, but there we have most of the equity to most of our product in today fab, because their fab support all of the type of product and we using our foundry to do our analog type of product. therefore it will be the synergy for us to move our product into their fab.
Tristan Gerra – Robert W. Baird & Co.: Okay. And then, I know you that you still have limited visibility on demand. At this stage, do you still plan on putting some capital equipment in Chengdu this year or is it more of a 2014 ramp?
Keh-Shew Lu: Well for the Chengdu, we probably will start to move our pattern line facility into our own facility. If you remember what we originally do is due up the pattern line so [Wu] can chip the people and the resource started getting training, and then we go to view our own building. And so I think sometime during this year Wu is – the building is already so sometime this year we will Wu to move pattern line into our own facility and that way we can easily to expand whenever we needed and no longer consider site core, so Wu would take this opportunity while the market slow and we don’t really need that facility, we can do the site core and move the pattern line. So this Wu help us in the future and much each year to run that.
Tristan Gerra – Robert W. Baird & Co.: Okay that's very useful and last quick question. At that point would you then plan on migrating some production from your Shanghai to Chengdu or it's Chengdu going to be entirely incremental and that such driven by what order rates and trends are going to be at that time.
Keh-Shew Lu: Okay, Wu would be very difficult to move the equipment from one export zone to the other export zone, because due to the China situation is very difficult, they don't allow you to move the equipment from one zone to the other zone. Okay, and you will almost need to ship it out to Hong Kong and then ship back in. So it’s very difficult. Therefore, we don’t have any plan today to move our facility or our equipment from our Shanghai to Chengdu. And therefore, Chengdu will be incremental.
Tristan Gerra – Robert W. Baird & Co.: Okay again it’s very, very useful. Thank you so much.
Keh-Shew Lu: Okay.
Operator: Your next question comes from the line of Shawn Harrison, Longbow Research
Shawn Harrison – Longbow Research: Hi good evening. Wanted to just get a clarification, if I remember correctly from last quarter, the expected revenue contribution from PAM and Eris was expected to be around $3 million or $4 million in the fourth quarter. Did it end up being within that range?
Keh-Shew Lu: Yeah.
Shawn Harrison – Longbow Research: Second, Mark, I was hoping for a clarification. I believe you said distribution sales or the sell-through was down 3.5%. Inventory was down 2.5%, meaning that your sell-in was down around 6%. Is that a correct number?
Mark A. Kin: I didn’t say anything about the selling, and I don’t have that right in front of me, but it was the POS that was down, 3.7% and the inventory was down 2.5%. Let me see if can come up with that other number.
Keh-Shew Lu: Now you did not talk to him about the PLP.
Shawn Harrison – Longbow Research: Yeah I’m talking about PLP. I guess the follow-up question of that is, do you think the spread between point of purchase and point of sales will narrow to zero during the March quarter?
Mark A. Kin: Yeah, actually I think that if the uptakes that I kind of just talked about little earlier, I think that PLP will be required to pass POS for a period of time.
Shawn Harrison – Longbow Research: Okay that’s may be it’s a March quarter, may be not?
Mark A. Kin: Yeah, may be later in the March quarter. We really have to see, it’s really, it’s really early in the quarter and we’re happy to see the positive sign, but certainly nothing to putting concrete yet.
Shawn Harrison – Longbow Research: Got you. And then the final question was on pricing. I don’t think I’ve heard any commentary on that about the fourth quarter. To me, that maybe means it was pretty benign. How was pricing during the fourth quarter?
Keh-Shew Lu: Well it’s typical, I think we, in the past, I keep talking about typically the prices about 1% to 2%, 1% to 2% per quarter drop, and we didn’t say, because if we think that range is typical range – and typically your productivity should be cover both and just washout.
Shawn Harrison – Longbow Research: Okay. Thanks so much and congratulations.
Keh-Shew Lu: Thank you.
Operator: Your next question comes from the line of Steven Shein, UBS.
Steven Shein – UBS: Hi, thanks for taking my questions.
Keh-Shew Lu: Thank you.
Steven Shein – UBS: Dr. Lu question for you first, I think your fresh back from Asia. I was wondering if you had any color from your customers on your feedback and the BCD deals so far?
Keh-Shew Lu: Well, our customer is really very positive about this, because with Diodes, the manufacturing capacity we can give them a better support and we're not talking about their quality is bad, but Diode have a very good quality stand in our customer, so I can feel very positive about we're able to qualify their product and bring that large capacity at the same time, a good quality product for them, that means their quality is better, I didn’t say that and just saying our customer feel is good to be able to get that kind of support.
Steven Shein – UBS: Great, it's helpful and also just related to your expectations for 2013 just wondering looking at your different practice segments that consumer computing industrial communication, in certain area that you expect to from more than others, for example do you expect the both of you're going to continue to come from the portables, and tablets and LED TV's or others that you think will see shrink the share and also related – do you expect the growth to come from greater content or business at existing customers that you see different diversification in your customer base involved in those practice.
Keh-Shew Lu: Okay. Some of the question, I would let Mark King to answer especially the spread between the consumer computer, – but for us, we definitely see the important content of our product in the applications, that's where our growth coming from is other than that more design wind and including that design win is more product, more content into the application, okay. And Mark you want to answer the rest of it?
Mark A. King: Yeah, I think you're going to see pretty consistent focus in that and concentration continued concentration in computer and consumer, I think if that that is their strength base or they (inaudible). Then one thing I'm going to let everybody know probably over the next six months will be revamping our segments because some of the classifications between the three companies us, PAM and them are different. And we’re going to have to go through the customer base and look at exactly where we move people around too. But again when you get down to the hand equipment is that pretty much the same hand equipment and pretty much the same focus. They might be a little bit more focused on the power side and the analog, and so forth, but they are going those power devices are going into the same hand equipment. That answers your question?
Steven Shein – UBS: Perfect, thanks Mark. And just last one if I could on the gross margin side for Rick, just based on some of the questions on gross margins earlier, it sounds like any changes in capacity utilization rates, you haven't effect on gross margin quarter with the loading change, that's just a function of the current situation where inventory levels are little low where your revenue levels are currently and also the inventory data and if it is safe to assume that more normalized environment the time might be longer potentially? Or the cycle times for products to go through the – into the cogs would take longer than a quarter?
Richard D. White: Well, I don't think the cycle time as much to do with it right now, and even in the future, it really have to do the amount of capital equipment you have available versus what the loading of that capital equipment is, you have to have per share depreciation as fixed cost, you have people manning the equipment, so all of those things add up and when you're not utilizing that equipment fully then you just have extra cost that either way at margin. So as we are able to increase the loading either through our own sales or bringing it BCD and that utilization helps and also mentioned in my speech that we are normal of CapEx as percent of revenue is about 12% and we're saying that in 2013, we’re trying to hold that into the 7% to 9% range and so that will also help utilization in that, if the market grows and the units are needed, we’ve held back on the equipment and that will help with the utilization rates.
Steven Shein – UBS: Perfect. Thanks, Rick.
Richard D. White: Okay.
Operator: Your next question will come from the line of Steve Smigie. It’s a follow-up question, he’s from Raymond James.
Steven Smigie – Raymond James & Associates, Inc.: Great, thanks a lot. I was hoping you guys would just comment on two areas quickly. First is on the chip scale packaging I know you’ve have been investing a lot there. Is that the products you put into that is that started ramping at this point and what’s the traction you are seeing there? And then, if you just get little bit more detail on logic, looks that you are pretty well positioned there. That uptake of that in the meaningful way that probably comes sort of Q2, Q3 so can you tell whether it’s the right way to think about it?
Keh-Shew Lu: Let me, I will say the chip scale packaging then I’ll let Mark answer the other questions. Chip scale packaging we already announced it and we actually it’s on production, okay, for both analog and discrete both. And so it’s ramp and if customer need more, then we’ll get more, but we only ramp. Okay. And Mark do you want our answer the other question.
Mark A. Kin: Yeah I think the logic thing is going quite well our position and revenue, and I think we already mentioned that we doubled our revenue in the quarter. It largely gets a long haul against large competitors, but we’re making continued progress in our key accounts. And I expect to see continued revenue growth quarter after quarter. So I think it’s just going to be – it just goes along with the rest of our stuff side, and we're quite excited about it, we got a lot of new products in there, we're finally getting to the scale in number part numbers and product mix and debt that our customers require, so it's getting more and more and more attraction, we are getting more and more attraction from the channels so we're quite positive about the long-term future.
Steven Smigie – Raymond James & Associates, Inc.: Great, thanks a lot. 
Operator: This concludes the question-and-answer portion for today's call I'd like to turn over the call back to Dr. Keh-Shew Lu for closing remarks. 
Keh-Shew Lu: Thank you for your participation today. Operator you may now disconnect.